Operator: Good day, ladies and gentlemen. Thank you for joining us for the TherapeuticsMD’s Second Quarter 2018 Financial Results Conference Call. Following prepared remarks from the company, we will open the call for questions. I would now like to turn the call over to TherapeuticsMD's Vice President of Investor Relations, Nichol Ochsner. Nichol?
Nichol Ochsner: Good morning, everyone. Thank you for joining today to discuss our second quarter 2018 financial results and business update. This morning, TherapeuticsMD issued a press release announcing our second quarter financial results. The press release is available on the company's website, therapeuticsmd.com, in the Investors & Media section. On today's call from TherapeuticsMD are Chief Executive Officer, Robert Finizio; Chief Financial Officer, Daniel Cartwright; Co-Founder, Dr. Brian Bernick; and Chief Medical Officer, Dr. Sebastian Mirkin. I would like to remind everyone that certain statements made during this conference call may contain forward-looking statements. Such forward-looking statements are based upon current expectations, and there can be no assurance that the results contemplated in these statements will be realized. Actual results may differ materially from such statements due to a number of factors and risks, some of which are identified in our press release and our annual, quarterly and other reports filed with SEC. These forward-looking statements are based on information available to TherapeuticsMD today, and the company assumes no obligation to update statements as circumstances change. An audio recording and webcast replay for today's conference call will also be available online in the Investors & Media section of the company's website. For the benefit of those who may be listening to the replay or archived webcast, this call was held and recorded on July 30, 2018. With that, I'll turn the call over to TherapeuticsMD's CEO, Rob Finizio.
Robert Finizio: Thanks, Nicole. Good morning, everyone. On today's call, we will review the following developments in our prepared remarks, and then open up for Q&A. Dan will start with a review of our financial results, Sebastian will provide a clinical update. And I will then discuss the progress have made on the commercial front with our limited launch of Imvexxy that will be filed by our full national launch on August 6 and potential approval of TX-001HR [ph]. Now let me turn the call over to Dan.
Daniel Cartwright: Thanks, Rob. Second quarter 2018 financial results are included in the press release issued today. Let me summarize a few key points. Net revenue from the company's prescription prenatal vitamin business was approximately $3.8 million for the second quarter of 2018, compared with approximately $4.3 million for the second quarter 2017. This decrease was primarily attributable to a decrease in the average net revenue per unit of our products, which is primarily related to higher discounts offered in 2018, partially offset by an increase in the number of units sold. Total operating expenses for the second quarter of 2018 increased compared with the second quarter of 2017. These changes primarily reflect an increase in commercialization expenses as we launch Imvexxy. R&D expenses during the second quarter of 2018 were approximately $6.8 million, compared to approximately $8.7 during the prior year's quarter. This change is a direct result of the completion of the Replenish trial for TX-001HR. SG&A expenses for the second quarter of 2018 were approximately $29.5 million, compared with approximately $14.6 million from the prior year's quarter. This change is primarily due to higher sales, marketing and personnel costs to support commercialization. We continue to invest in commercialization activities to support the launch of Imvexxy. We expect these factors to increase the growth rate of our SG&A expenses throughout 2018. Turning to the bottom line, our net loss for the second quarter of 2018 was approximately $33.2 million or $0.15 per basic and diluted share, compared with approximately $19.7 million or $0.10 per basic and diluted share for the second quarter of 2017. We finished the second quarter of 2018 with approximately $153.4 million in cash, compared with approximately $107.3 million at March 31, 2018. For the second quarter of 2018, cash utilized for operations was approximately $25 million. As of June 30, 2018, we had approximately $75 million in debt from our non-dilutive term loan financing with MidCap Financial, with an overall effective rate of approximately 10.6% as of June 30, 2018. Let me turn the call over to Sebastian for a clinical update.
Dr. Sebastian Mirkin: Thank you, Dan. To remind everyone, the PDUFA target action for TX-001, our combination of estradiol and progesterone product candidate is October 28, 2018. If approved, TX-001 has the potential to become the first and only FDA-approved bio-identical combination of estradiol and progesterone product. In terms of our medical efforts, during the second quarter, we had a major presence at the World Congress on Menopause, where we presented seven abstracts related to TX-001 and Imvexxy. We also expect to have a very strong presence during the North American Menopause Society Meeting in San Diego in October of 2018, presenting a total of 10 abstracts of which five of them will include novel data from the Replenish trial, highlighting the benefits of TX-001. We'll present for the first time the unique data on the effect of TX-001 on population parameters, weight, blood pressure, as well as data supporting the robust efficacy of TX-001 for vasomotor symptoms. Now let me turn the call back to Rob.
Robert Finizio: Thank you, Sebastian. We're very happy to announce on July 9, we initiated our early experience program for Imvexxy. With a limited launch of the 10-microgram dose to a targeted and sample of health care providers throughout the country. In the first three weeks of the limited launch, which is July 9 through July 27, approximately 1,363 health care providers have initiated at least one patient on treatment and sent in the subsequent prescription for continuation of treatment on the maintenance pack. These results are more than encouraging. The full national launch of the 10-microgram dose of Imvexxy will begin next Monday on August 6. Our BIO-IGNITE customers are expected to go live in later August and we planned to launch the 4 microgram dose in September. Moving forward, the key performance indicators we intend to provide include the number of new writers and total writers, which indicates the pace of adoption by health care providers; new prescriptions, which shows the market penetration; total prescriptions; the refill rate, which will show how our affordability and compliance programs are taking hold; the ramp of commercial insurance coverage, which will be an indicator of adoption by payers and a precursor to increases in gross-to-net; and lastly, a quarterly trend of gross to net. We will listen to payer feedback and price to Imvexxy at parity with other currently branded products. Our direct discussions with commercial payers related to Imvexxy continue to be positive, which we believe is due to the clinical and the unique physical characteristics. At 4-micrograms, and 10-micrograms, Imvexxy is the lowest-dose estrogen VVA product in the market, which we believe resonates well with payers because of medical guidelines encouraging clinicians to start with the lowest effective dose, which Imvexxy is by far. On the payer front, as we stated, historical trends suggest significant majority of unrestricted commercial access within nine months after launch, understanding that is up to a six-month formulary review process is standard for most new products. Our market access team is working hard to speed up this review process and has already made advances in achieving these goals. As such, we expect approximately 15% market access at full national launch, which is August 6, increasing significantly by the end of February for the approximately two-thirds of the VVA prescriptions that are currently covered by commercial insurance. This follows a similar access curve to INTRAROSA. Medicare, which represents approximately 25% of the current VVA scripts, will begin bids in September of 2018, and if accepted, we'll begin coverage in October of 2019. We're pleased with our market access team efforts and confident that the company is prepared for robust market access in late 2018 and beyond. So far, there's been two generic entrants into the VVA space, the generic ESTRACE CREAM and generic Vagifem. It is very important to recognize that the impact of generics have only taken market share from the reference brand products and has not resulted in substitution or cannibalization of the other brands within the category. We believe that there is a significant opportunity to improve compliance in this category. We plan to use the successful co-pay assistance and education program that we developed for the prenatal vitamin franchise to help patients manage out-of-pocket costs and improved education with the goal of increasing patient compliance. Our innovative co-pay assistance and education program together with the clinical and physical attributes of Imvexxy are all important reasons why health care providers and women may prefer these products and why we believe we'll be successful at improving patient compliance over prior products. We are focused on commercial execution with Imvexxy and on our other transformative catalysts throughout the remainder of 2018. Our PDUFA date for TX-001 [ph], our bio-identical combination product of estradiol, a natural progesterone, is October 28. And if approved, the launch of TX-001 [ph] will be as early as the first quarter of 2019. We would also like to give an update on partnerships discussions to license Imvexxy and TX-001 [ph] outside the U.S. We are in very late-stage negotiations to license TX-001 [ph] and Imvexxy into Canada, and discussions to license Latin America. They're both progressing very nicely. We're currently holding off on plans to license into Europe until after TX-001's [ph] PDUFA date. And 2019 is shaping up to be a transformational year for the company. We are pleased with the current progress and with the limited launch of Imvexxy. By this time next year, TXMD has the potential to have our second late-stage product approved and launched, delivering on our promises to bring the innovative, bio-identical and new lower dose hormone therapy products to the large, underserved and growing markets of postmenopausal women. We'll now open up the call for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Bill Tanner with Cantor Fitzgerald. Your line is now open.
Bill Tanner: Thanks for taking the question. I appreciate the update. Just on the – just thinking about the 10 mcg launching later then the 4 mcg, I mean, I’m wondering if you or Brian, or Sebastian might be able to opine on that. It seems like the convention is for the lowest effective dose to be used initially. And I'm curious why going ahead with the 10 mcg first? And then secondly, so it sounded like you had some pretty good experiences thus far. I'm wondering with the intent to prescribe again with the patients to use again, wondering what kind of feedback, qualitative would be helpful that any of the sales reps had gotten from the physician to have prescribed it. Thanks.
Dr. Sebastian Mirkin: Sure Bill I’ll take the 10 mcg versus 4 mcg and hand it over to Brian, because we just had a big KOL meeting over the weekend. So it's simply that 10 mcg, we put through the line first, manufactured first and wanted to get out. The 4 mcg is through the line. As you know, you’ve got – with the new products, you’ve got to get it to wholesalers, distributors and into retail. And we couldn't do both at the same time. So we went out with the 10 mcg first. No specific reason. We're very, very encouraged by the numbers so far. And the 4 mcg is on track, will be out in general availability at all retail pharmacies in September. As we said, August 6, we'll have full retail availability of the 10 mcg. Brian, you want to talk about any feedback?
Dr. Brian Bernick: Sure. Thanks Bill. So this weekend, as a matter of fact, we held our speakers' training bureau where we had about 40 of the leading KOLs in the country of which most of them have already been writers of the product. And in fact, many of them have written several prescriptions to many patients. And the feedback has been overwhelming, both from the physicians and patients. So we're really excited and encouraged by it.
Bill Tanner: And Brian, I’m worried, if I could just one quick follow-up on that as it relates to the feedback. Is that mainly around the administration, or is there anything at least on the symptomatic front that people are seeing that’s making want to come back?
Dr. Brian Bernick: Yes, well, I think it's a little bit too early to have feedback on the symptomatic front. Although the ability to use them to have a good user experience had been very clear. The feedback from the clinicians is that it's easy to describe, it's easy to dispense, it's easy to explain. They really like the product attributes. Many of these people had never seen or had been familiar with the product itself. They've just been really excited about prescribing. I mean we have some physicians that have prescribed 10s, if not 20s, 30s and 40s of these products already. So it's really exciting.
Robert Finizio: Bill this is Rob. Some of the feedback that I'm getting is some of the efficiencies with the product on educating patients and prescribing it. So that's very encouraging. And I think the numbers at this point, to be where they are without many physicians so far. So remember, it's a limited launch with only the 10 mcg. We think it's incredibly encouraging if you compare it to what else has happened out there before us with other products.
Bill Tanner: Sure, that’s great. Okay, thanks very much.
Robert Finizio: Thank you.
Operator: Our next question comes from Ken Cacciatore with Cowen. Your line is now open.
Ken Cacciatore: Great, thanks guys. Congrats on all the progress. Just as we're waiting for managed care, and it sounds like you're making good progress there. But as we're waiting for that, could you talk about a little bit more detail your patient support, how you are sampling and kind of ensuring that these patients can continue to get access as you ramp up that commercial coverage, just in a little bit more nuance and detail. Thank you.
Robert Finizio: Yes Ken, it’s Rob. So we have a very, very well executed pre – co-pay assistance and education program and it’s back-end integrated. So it's standard in the industry. But we, as you saw in the prenatal, really push it. I mean, I think we had about 85% compliance in the prenatal franchise. And although that hasn't been the focus for about three quarters now, we've developed solely for the implementation of TX-004 [ph] and TX-001 [ph] and our vaccine TX-001 [ph]. So when patients go in, if there is not insurance coverage yet, it will still be a $35 or below co-pay for that patient. And that is what we are clearly trying to articulate here within managed care coverage over the next three quarters. So we want it to be is transparent to the doctor, transparent to the patient and have it just be – it’s $35 or less regardless of the coverage upfront. And as the payers come on, those gross to natural flip. And as we said in the next two to three quarters, we expect to have some good volume there in the commercial side. So it should not impact the launch, the acceptability or have any physician or patient pushback at all, and again we've proven it out to the prenatal franchise and it's looking really good so far.
Ken Cacciatore: Great, thanks. And maybe for Sebastian, give a little bit of context but the FDA interaction on TX-001 [ph], just how do you characterize, like normal, on-track, any kind of perspective you can give. Thanks.
Dr. Sebastian Mirkin: Hi Ken good morning. Yes thank you. So everything looks fine. So we are on track for approval on our PDUFA date of October 28.
Ken Cacciatore: Thank you.
Operator: Our next question comes from Dana Flanders with Goldman Sachs. Your line is now open.
Dana Flanders: Hi, thank you very much for the questions. And congratulation on the progress as well. My question is just on TX-001 and just the rollout of that if approved later this year. Can you just talk about the BIO-IGNITE program you have in place and the progress you're making on that front and just what should we think about as gating factors to announce additional partnerships and get kind of above, I think, it was around two million scripts that you have right now. Thank you.
Robert Finizio:
. : From there, with TX-001, we looked in the filing let's call it two years, to get about 600 to 900 more pharmacies up. We believe these 900 pharmacies, is more than half of the total, not just the two million that are in PVPCN and our current BIO-IGNITE customers for TX-001. But the total scripts, which is 12 million to 18 million. We believe approximately 50% to 60% of those are in the top 900 pharmacies. So TX-004 [ph] will build trust, will build relationships. We will get the key opinion leaders in the space up and going. And again, these are your normal corner pharmacies that are focused in women's health and compound hormones. And then a lot of people think of compounded pharmacies as big sterile places. These are your corner pharmacies that really focus in this women's health space. Get those guys up with TX-004 [ph]. And then with TX-001 [ph], we will take that model and expand significantly and get, hopefully, in the first two years, over up to 60% of those scripts covered through the pharmacies.
Dana Flanders: Perfect. Thank you.
Robert Finizio: Thanks Dana.
Operator: Our next question comes from Chris Schott with JPMorgan. Your line is now open.
Chris Schott: Great, thanks for answering the question. First one here, when we think about the patient compliance efforts and your goals kind of improving refill rates here, when do you think we'll be able to see that showing up in prescription trends? I guess, how quickly do you think you're going to be able to kind of make a difference on the refill rates relative to some of the prior therapies we've seen in the category?
Robert Finizio: Yes. So in our Investor Day, we focused some slides on that, and I’ll refer to the graphs that we put in place. So through education and through co-pay assistance, half of all VVA scripts are not filled once they're written just due to either insurance coverage, co-pay cost or lack of education. That is a chronic progressive disease. So we see that as a very low-hanging fruit. And to answer your question, new scripts versus total scripts, I believe in the first two years, it's about 1.3 to 1.7 would be the benchmarks you're looking at. So with us, it's real simple. As you look at new scripts versus total scripts, and you take the delta, and that will give you your compliance rates. And what we'll do is we've talked about that earlier in the earnings script that will be a key performance indicator. So not only it will be out there, but we will focus on it and bring that in as well as the payer coverage, which will show gross to net, hopefully, improving as payer coverage comes on, which is strongly what we expect, and the prescribing physicians. So we'll make it crystal clear for you, okay?
Chris Schott: Great. And then the second one, just I know you talked about OpEx kind of ramping here. Just any more color on how we should think about the OpEx trends next few quarters as you launch Imvexxy and then we think about the TX-001 launch coming on board?
Daniel Cartwright: Sure. This is Dan Cartwright. We expect those to continue to increase for the next couple of quarters as we get prepared for TX-001 and its approval. As far as the spend on Imvexxy, we don't expect that to go up significantly from here, but we will be getting ready for TX-001, so we will see those costs go up some more here.
Chris Schott: Great, thanks very much.
Daniel Cartwright: Thank you.
Operator: Our next question comes from Jay Olson with Oppenheimer. Your line is now open.
Jay Olson: Hey guys, thanks for taking the questions and congrats on your progress. You mentioned some abstracts coming up at medical meetings. And in particular, I think you mentioned weight loss, which sounds very interesting. Can you – is there any additional color you can share with us on what we should be looking for in those abstracts and whether or not we should expect any of that data to get into the label for TX-001?
Dr. Sebastian Mirkin: Well Jay, let me tell you what's going on, right? So as you know, TX-001 is the only bio- identical combination study. And we certainly – in our Replenish trial, we saw the benefit of using estrogen plus natural progesterone on several parameters. So in the North American Menopause Society, very, very important key opinion leader, we are presenting for the first time effect on weight, population parameters and blood pressure. You may know that synthetic progestins increase weight sometimes, increase blood pressure, and they have a detrimental effect on population. We have a unique profile in the final Replenish trial. So we're very happy to do this. We invite everybody to come to NAMS this early October in San Diego, California, and we're going to be there all very excited to show in our data.
Jay Olson : Okay, great thanks for that, I will look forward to that. And then thanks for the update on your ex-U.S. activity. I'm just curious if the plan for Imvexxy and TX-001 in Europe is definitely an out-license or is there a potential collaboration? Or would you potentially consider filing it yourselves?
Robert Finizio: Good question. So we definitely would not file it ourselves. The whole world pales in comparison to just the U.S. market, so we will stay focused here in the U.S. And we can only take on so much building at once. So look at once the 01 product is approved, we will start a process, depending on the country and where you are, the need for a clinical trial based on the approval, might be more additional clinical trials needed, might not be. Either way, we'll work it out, and it seems pretty straightforward at this point that there won't be a trial required. But until it's approved, we really don't know. So that's the reason we're not moving forward quickly on that one. Canada is imminent. We want to remind folks that, that market, from a size standpoint and what they pay for these products, is not exactly huge. It's about $20 a unit lab cost. So we are very encouraged on our partnerships up there, and we – that is imminent, expect something here in the very near future on Canada. Latin America is behind Canada. But we do expect some things there, going forward in the near future. And again, that market is nothing near what it is in the U.S. But they are definitely going to help us in a lot of different ways, and we are very encouraged on our potential partner up in Canada. I think it's going to help a lot.
Jay Olson : Great. Thanks for taking the question.
Robert Finizio: Thank you.
Operator: Our next question comes from Annabel Samimy with Stifel. Your line is open.
Annabel Samimy: Hi guys. Thanks for taking my question. Just want to go back to the conversations that you're having with the payers. I know that, clearly, you're working on the TX-004 right now. I think you said it is 15% right now or by September and then you would be ramping up completely more by February. But have you already started conversations on TX-001? I would imagine slightly different conversation with payers, given that TX-004 was at 4-mcg, and that's not available in the marketplace right now, but there are same doses available in the marketplace for the E plus P products. So just if you could give us a little color there.
Dr. Brian Bernick: Yes thanks Annabel. This is Brain. So you’re absolutely right, we've been in active negotiations with the payers throughout the country, and that continues. So the focus of that is on Imvexxy itself. Although we do have conversations at the same time about TX-001 and actually excited about the opportunity for both of the products, including TX-001. With respect TX-001, though, remember that there is not available today a combination product in these doses that are together. So it's a unique product that they're looking to make available to their patients. So we're extremely excited about it, and it's been very well-received.
Robert Finizio: And Annabel, this is Rob. So we've tried to put out on our Investor Day somewhat of a ramp that INTRAROSA had that we would expect. Just going through the six-month review process, I think the 15% coverage is ahead of schedule going into launch, August 6. And again, it's going to be transparent to our patients and to our docs with our co-pay assistance program. And as those additional above 15% provider – or payers come on, the gross to net will reflect that, and we will track that very carefully in quarterly earnings. And we are hoping that will ensure a nice effective launch with co-pays under $35 for Imvexxy.
Annabel Samimy: Okay great. And just to get a little bit more specific on the TX-001 product, do you expect a more rapid ramp-up in terms of the coverage for TX-001 than for TX-004? Or just about the same?
Robert Finizio: It's just a process that will be the same. It's just a process you go through. And no matter what the drug, these are open formularies more than other products. But the six-month process is just a piece of managed care regardless of the drug, and we are part of that, and it is what it is.
Annabel Samimy: Okay. And just one more question on that. Do you – forget I lost my last question. Alright.
Robert Finizio: No problem.
Annabel Samimy: I’m sorry I couldn’t remember it.
Robert Finizio: You got it, anytime. Thank you.
Operator: And we have a follow up question from Bill Tanner with Cantor Fitzgerald, your line is now open.
Bill Tanner: Well, thanks very much for taking the follow up. I actually have a couple of them, and maybe the first one is for you, Sebastian. You mentioned some of the presentations at NAMS, and I guess when I thought about TX-001, I thought about maybe the biggest draw of it is that it's FDA-approved versus compounded. So I'm wondering, what kind of data are out there that you would be comparing the results from Replenish against as it relates to some of the parameters that you mentioned? As I think about TX-004, then it's the ease of administration, it's the potentially lower – or potential for using a lower effective dose. So I'm wondering if we're not thinking about this correctly, that there's more to it than just not being compounded, being FDA-regulated, and do you think that these data would resonate with folks that they're going to think, okay, well, the compounded is better because it's regulated and because it does this? Or is there, again, is there anything to compare it? And I do have one follow-up.
Dr. Sebastian Mirkin: Well, there are two types of comparison, Bill. So number one, the comparison versus a compounded HRT. And certainly, you are aware, for example, there was a NAMS survey in which they identify an increased risk of endometrial cancer with compounded HRT. So there you have, right, so we will have our first and only FDA-approved bio-identical product that show a robust endometrial efficacy. And in terms of the metabolic profile, all synthetic progestin has a detrimental effect on population, weight and blood pressure. What we're trying to say before is we did not see that in the Replenish trial. We do see the much more benign metabolic effect with our product, something that was suspected. There is not an engagement of any other receptors. It's purely a progesterone effect with natural progesterone. And therefore, that's a right blend on metabolic profile as compared to synthetic progestin. Very similar to what we see with transdermal estrogens. So it's a very, very benign profile of this combination of natural estrogen and natural progesterone.
Bill Tanner: Got it, okay, that sounds good. And then it seems like the – obviously, so NAMS is October 3, so your PDUFA date. Is there anything that can be done at NAMS, sort of any kind of discussions or any kind of profiling of TX-001 out of NAMS? Actually, the PDUFA date [ph] is after NAMS, right, for TX-001. So I'm just wondering if there's any kind of disease awareness that takes MD’s who's going to be involved in, in NAMS?
Dr. Brian Bernick: Yes Bill, this is Brian, We expect to have a nonbranded campaign for TX-001 at NAMS as well as the branded Imvexxy campaign there.
Bill Tanner: Got it. Okay, thanks very much.
Robert Finizio: Thank you.
Operator: If there are no further questions, let me turn the call back to Rob Finizio for closing remarks.
A - Robert Finizio: Thank you, everyone, for joining today. We are very, very encouraged to look forward to our next earnings and show the progress of Imvexxy and, hopefully, the approval of TX-001. It will be a big one. So looking forward to that, and we're confident we will work very hard here to deliver for our shareholders. Thank you.
Operator: Ladies and gentlemen, thank you for participation in today's conference. This does conclude the program. You may all disconnect. Everyone, have a great day.